Operator: Good morning, everyone, and welcome to Cresud’s First Quarter 2019 Results Conference Call. Today’s live webcast, both audio and slide show, may be accessed through the company’s Investor Relations website at www.cresud.com.ar by clicking on the banner Webcast/Link. The following presentation and earnings release issued yesterday are also available for download on the company website. [Operator Instructions] Before we begin, I would like to remind you that this call is being recorded, and that information discussed today may include forward-looking statements regarding the company’s financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to detailed note in the company’s earnings release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Elsztain, Chief Executive Officer. Please, sir, go ahead.
Alejandro Elsztain: Good morning, everybody. We are beginning our conference call of the first quarter 2019, and we can move directly to Page number 2, and see the main event for this quarter. The adjusted EBITDA for the quarter reached ARS 4.5 billion comparing to last year’s, the adjusted EBITDA was ARS 3.5 billion. The main difference comes from the Agribusiness segment, where we can see that this year, we are achieving ARS 1.7 billion comparing to last year of ARS 0.2 billion. This was mainly explained by operating results from the crop and sugar and the farm sales that we are going to explain later, that this year we were adding through the trends mainly in Brazil. From the side of Urban and investments through IRSA, this year we are bringing to the results ARS 2.6 billion, and this is mainly explained by higher operating results in Argentina and in Israel, mainly in the Real Estate businesses. And about the net income from this quarter, we are achieving ARS 7.4 billion comparing to last year ARS 28 million, there is minimum time to contract. And attributable to Cresud shareholders was ARS 2.1 billion compared to last year ARS 221 million. The main explanation for that in the case of the EBITDA is the fair value of investment properties in Argentina Business Center and higher returns in the Clal shares that we put at market price and there was a big rebound on this quarter. If we see about the Agribusiness side in the left, we can see that in the first quarter, BrasilAgro sold a portion of Jatobá. I would say that it’s 1/3 of the farm for BRL 177 million. And we are developing the land in the regions, it is the combination of Brazil, Argentina and Paraguay. So farm sales have began in the first quarters and still a lot of development, a comparable type of the development of comparing to what we sold in the first quarter. Return was 7.55 connected to be developed so almost the same. So we keep our pace of development to mostly decrease our size in the region. From Other side, we are expecting to plant our highest plantation in our history. We are planting for this campaign 257,000 hectares in the four countries. Related to the EBITDA for Argentina Business Center, the rental segment grew 21% comparing – 31% comparing last year numbers. And occupancy stays very high at almost 99% in malls, 93.4% at small biz and office, one point percentage more than last quarter and 64.5% in the hotels. Related to share distribution, we distributed some shares that we bought – we did the buyback in the past, and we gave back to the shareholders. That was 4.1% of the capital stock that we gave this week – last week to shareholders. From Other side, we received dividends from IRSA that we received in the commercial property shares and from BRASILAGRO that we receive a dividend of almost $5 million. If we move to next page, in Page number 3, you can see the evolution of planted area. And here we see more than 10 years ago, we are planting only 50,000 hectors. We went to more than 100,000 hectares. We surpassed 200,000. And now we are achieving 257,000 hectares. And for 200,000 hectares of our own plants are leased to third parties. So this is the combination of almost 270,000 hectares in the total region related to agriculture. We can see that the largest in size is Argentina, the second largest in size is Brazil. We can move to next page. And we – and here related to crops, which are 52% in soybean, 29% corn, 11% sugarcane, but it’s very impressive crop, 11% is a lot, almost 30,000 hectares of sugarcane, which is representing a very important crop for the company now. We can move to next page and see in the Page number 4, the development and the sales. Related to development at the bottom, we can see we are developing for this next campaign 8,500 hectares and 2,000 hectares in Argentina, 2,000 hectares in Paraguay and will be more than 4,000 hectares in Brazil to keep that development and really the accumulation in the history of the last 12 years. And then in the farm sales, in the first quarter, we did the partial sale of 1/3 of that Jatobá Farm, and the nominal value was a sale of $50 million, with $45 million gain. And this is a long-term payment, which has the seven years installments. So this is the nominal value for the total sale. The CRESUD value for that sale is smaller because they did for this many installment. But shows that we began the third quarter, we are expecting to have more sales in the second, third and fourth quarter. We can move to next page, and we see the result of that sale. That farm is 32,000 – or 31,000 hectares. From those, the productive area is 24,700 acres where – and the acquisition price which is BRL 1000 per hectare. And the CapEx on top of the farm – the total farm is BRL 35 million. So with the BRL 80 million investment, we are having this 24,000 hectares developed. And we sold in this last July total hectares of almost 10,000, that productive 7,500 hectares. The sale was done in 285 bags per hectare. That means BRL 177 million. So this is an internal rate of return BRL 14 and $7 because of the valuation that happened to Brazil. We are still in the main area. Much more land and comparing to what we paid due to huge volume lately only the 1/3 we are making BRL 177 million. So many times its value. And now I will introduce Mr. Carlos Blousson that will explain us about the markets, soybean and corn.
Carlos Blousson: Okay. Thank you, Alejandro. Good morning, everyone. Let’s begin with the Page number 6, about commodity prices and global stocks. As you can see on the graph, year-to-year, the prices remain low. The soybean price decreased by 13%, and the corn increased by 1%. The decline in soybean price in mainly due to the conflict between United States and Canada that had made corn stop growing, you can see in the graph in the slide. The price of corn remained stable, but at the low level, which mean we carried more of the stocks. Let’s move to the next page, Page number 7, the campaign about the Argentina today. There are good prospects for the 2019 compared with the previous year. Why? Because in Argentina, however, currencies have recovered from the same drivers we remember in last campaign. And the focus is the grower and in itself, the planting area improved by 3%, achieving a record in planting. Regarding crop which has increased by 34%, reaching 126 million hectares. The production of wheat is expected to grow by 11% to 20 million tonnes, the corn by 36% to 43 million tonnes and soybean by 51% to 53 million tonnes. The period is easily achievable under the right weather conditions. Let’s move to the next Page number 8, about despite recent increase in tax exports. The government will deliver on the issue for the sector. Three months ago, the government increased the crop export taxes. The previous scheme at either a minimum of 12% or ARS 4 per dollar until December 2020. In the case of the soybean, the export tax increased to 28%, shown in the previous screen of the positive reactions. And the maximum expected is of 30% with exchange values decreased to ARS 33 per dollar. Within corn, we’re down to 20%, with a maximum of 12%, with the exchange rate decreased to ARS 43 per U.S. And now Matias Gaivironsky, please.
Matias Gaivironsky: Thank you, Carlos. Good morning, everybody. So going to Page 9, here, we include the results from our stake in IRSA. Remember that we control 64% of IRSA shares. So we can see good results in the net income line, but it’s much bigger than the year ago. With ARS 11.1 billion attributable to IRSA shareholders, it’s ARS 9.4 billion against ARS 0.15 billion of last year. The adjusted EBITDA grew by 31%, and I will explain later the main event of IRSA on operational side. The operational levels remain at good levels, 98.7% occupancy in malls, 93.4% in offices, 64.5% in the hotels. The Israeli business segment, on the operational side, we have mixed results. Good results on the Real Estate, really decreasing the telecommunication company, and very good results from our stake in CLAL, that remember we value at market value, so we see that increase in the quarter of 34% generated very good results for it. So moving to Page 11. Here, we have our financial statements divided by the three segments, the Agribusiness, the Urban Argentina and the Israeli Business segment. You can see that we finished the quarter with a gain of ARS 7.5 billion against a loss in the last year of ARS 323 million. The part attributable to CRESUD shareholders is ARS 2.0 billion against ARS 221 million of last year. And we can see here different lines. I will try to explain the main effects. So we can see in the Agribusiness that the operational income is much higher than last year ARS 839 million in Line 9, you can see the operating income ARS 839 million against ARS 203 million. On the Urban segment, much higher results, mainly explained by the change in the fair value of the investment properties. In Line 4, you can see that the last year was ARS 2.5 billion and this year, it’s ARS 15.8 billion. When we analyze here the SG&A expense, this is 67%, in Line 6, 67% higher than the last year. But when we combine the Line 2, the cost and the Line 6, the SG&A, we see an increase of 34% that is in line with the inflation. We have some effects of – in this year that is one shot or effects that we haven’t last year like donations and allowance for bad debtors. But then we see that the revenues in the malls increased lower than inflation and the costs in line with the inflation. So we will see in the coming pages a little more details on that. And the Urban segment – sorry, on the Israeli Business segment, with the operational income that is lower, 35% against last year, that I will show the detail in the coming slide. In the Line 11, we see the net financial result that is very important effect on the quarter, that is a loss of ARS 10.4 billion against ARS 4.5 billion of the last year. Here, the main reason is the valuation in Argentina that I will explain in the following page – in the following slides. So we will move to Page 12. We answer in more detail in the operational side in the Agribusiness segment. We can see the adjusted EBITDA reaching ARS 1.7 billion against ARS 221 million. So much better results, mainly explained by two reasons. One, the disposal of Jatoba in Brazil that generated ARS 748 million. In last year, in the first quarter, we haven’t sold anything, so there we have only costs. So we see the first reason that disposal of farm, and the second reason is the farming is basically holding result. In this quarter, we haven’t harvest yet most of the – we harvest most of the place, that we’ll claim in the following quarters. But we have the holding results from the crops that remain in the stock at the beginning of the fiscal year. Remember that here, we have the devaluation in Argentina that generated that in pesos term will include significantly the result of the value of the – of our stock, that is reflected in the grain line, that is ARS 463 million against ARS 50 million of the last year. And also in Sugarcane, there is ARS 268 million against ARS 159 million. Also in the Sugarcane, we have better results on the production side in Brazil, so also it’s combining in that line. And in the Cattle and Milk that we discontinued in the last year, so for the year, it’s only the results from our holding of cattle stock, but also the improvement in prices generated better results. Finally, the Others line that include our stake in FYO, the brokerage firm and the Agro Industrial, the new packaging facilities generated much better results than the last year, ARS 177 million against ARS 12 million. In the two segments of new packing facilities with the exchange rate generated positive results in the quarter. If we move to Page 13, we move to the Urban segment. So in the Argentina Business segment, we can see that the adjusted EBITDA for shopping malls increased by 11% in pesos. Here we have the effect of revenues growing at the lower base than the inflation and cost at the same pace as inflation, so that generated the decrease in the margin of the mall and the increase by 11%. The office segment that is more dollarized or dollarized – all our agreements are in dollar, so we have the effect of dollar valuation, the positive effect of valuation ARS 158 million against ARS 83 million of the last year. The hotel also received a positive result from the valuation, that our rates are in dollars and our costs are in pesos. So we generated much better results than the last year. And sales and development, that during the quarter, we haven’t sold anything, and the last year, we sold a property that generated ARS 241 million. So those are the main effects on the operational side in Argentina. And in Israel, we have the Real Estate growing to 70%. Remember that the valuation between the shekel and the pesos was 50%. So 50% is explained by the valuation and the rest is the operational improvement. I look at telecommunication, a weak quarter, that generated a decrease in pesos terms of 3%. If we move to Page 14, we have here the main effects on the net financial results. Remember that we – during the quarter, we lost ARS 10.4 billion against ARS 4.5 billion of the previous year. When we separate in the different segments, we can see that in Argentina, the main effects – in Cresud plus BrasilAgro, the main effect is reflected in Line two, net exchange difference and also at the IRSA level. The reason is because all our debt or most of our debt is dollar denominated. And you can see in the bottom left that during the quarter, we had a valuation of 43% from 28.85 to 41.25, and the last year is only 4%. Then at the IDB level, an Israeli business segment, we have two effects. One is reflected in Line 5, profit from fair value of financial assets that generated a profitable result of ARS 4.6 million against ARS 38 million last year. You can see in the bottom right the evolution of the Clal shares that during the quarter increased by 34% and the last year remained flat, increasing only 1%. If we move to Page 15, we can see here the debt amortization scale. Our net debt increased comparable with the last quarter and the end of our fiscal year basically because of our debt – sorry, our share buyback. That during the last two quarters, we bought ARS 900 million of shares. So that generated an increase in our net debt. In the – below it, we can see the debt amortization schedule that on the left was the debt up to the 30 of September that we closed this quarter. And after that, last week, we issue a bond. We were the first Argentinian company to cap the market again. So the market was closed in April this year and Cresud opened the market, issuing a bond of $73.6 million with a fixed interest rate of 9% and amortization in two years. So after this refinancing, we are canceling all the bonds that mature during the next week and the following quarter. And we will maintain certain debt that is efficient because of the costs, is at $116 million, is basically refinancing exports that is the most efficient in terms of cost right now in Argentina. So with this, we finish the presentation. Now we open the line to receive your question.
A -:
Operator: [Operator Instructions] There are no questions at the present time, so I would like to return the call to Mr. Alejandro Elsztain for any closing comments.
Alejandro Elsztain: Thank you. Just for summarizing, we are financing a very big campaign, an important campaign in the region. With these conditions, up to now all the windows of opportunities for planting before rain in all the regions that we are in. So we did this campaign, having the first quarter result and the Real Estate development. I think the combination of the three factors that make Cresud important company of the region, and the other business and the other segments and business structure in the whole world. So we expect a very good purchase in the next conference. And there was more stability on the exchange rates from the end of Q4. So it sounds like this is changing some of the environment of the economy of Argentina. So we are going to see for next quarter. Thank you very much, and have a very good day.
Operator: Thank you. This concludes today’s presentation. You may now disconnect your lines at this time, and have a nice day.